Operator: Good morning and welcome to the MarineMax, Incorporated 2019 Fiscal Second Quarter Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Brad Cohen, Investor Relations for MarineMax. Please go ahead, sir.
Brad Cohen: Thank you, operator. Good morning, everyone and thank you for joining this discussion of MarineMax's 2019 second quarter. I’m sure that you’ve all received a copy of the press release that went out this morning, but if not, please call Linda Cameron at 727-531-1712, and she will email one to you right away. I would now like to introduce the management team of MarineMax; Mr. Brett McGill, President and Chief Executive Officer; Mr. Mike McLamb, Chief Financial Officer of the company. Management will make a few comments about the quarter and then be available for your questions. And with that, let me turn the call over to Mr. Mike McLamb. Michael?
Mike McLamb: Thank you, Brad. Good morning, everyone and thank you for joining this call. Before I turn the call over to Brett, I'd like to tell you that certain of our comments are forward-looking statements as defined by the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that could cause actual results to differ materially from expectations. These risks include, but are not limited to, the impact of seasonality and weather, general economic conditions and level of consumer spending, the company's ability to capitalize on opportunities or grow its market share and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I'd like to turn the call over to Brett?
Brett McGill: Thank you, Mike, and good morning, everybody. I want to start out by saying how proud I am of our team's ability to produce 12% same-store sales growth, in a quarter in which the industry clearly had its challenges. The industry data for the month of March combined with the choppy data throughout the quarter is evident that less than optimal trends prevailed. To generate the top line growth in such an environment required us to be proactive and to invest more in boat shows and in marketing, which drove sales, but at a cost. While the industry did not seem to be in a discounting mode, we were incrementally more aggressive, which did impact our consolidated gross margin. Additionally, the last push of the Sea Ray larger boats also weighed on margin and expenses in the quarter. Let me give some additional color on business in the quarter. As we said in our earnings call in January, boat shows started off choppy, but we are gaining strength as the month progressed. As it turns out, boat shows were a bright spot for MarineMax as just about every show is meaningfully up and contracts written and dollars. Part of this is due to our strategy to invest greater in shows after we saw the choppiness in December quarter and January. We started to -- what started to become evident at our stores through the February industry data was that lower price point boats, such as smaller aluminum and center console fishing boats were soft. This became a trend through March and was reflected in the industry data. Many in the industry have commented that weather likely was the biggest culprit. For us, I would add that given our geographic diversity, our trends are inconsistent. So while weather is a factor, we are watching trends carefully as we work through the coming quarters. We did well producing top line growth, but our revenue was below our expectation, meaning we incurred costs and invested for greater growth than was achieved. Overall, units in the quarter were down for the industry in the categories that we sell, and our units were also down on an apples-to-apples basis. The good news is that generally, premium products performed well in the quarter, which explains a lot of the growth in our average unit selling price. Larger boats, those that were 40 feet, were also generally strong as we saw an increase in units and dollars. The trend towards outboards and the demand for outboards from consumers remains a theme in the industry. Our manufacturing partners continue to invest and launch new models of outboard power that are being very well received. Another positive note is that our strategy of completely replacing the discontinued Sea Ray larger boat revenue with brands we carry like Azimut, Galeon, has been executed near flawlessly through the first three quarters, since the Sea Ray announcement in June 2018. To drive the replacement revenue and achieve growth, we did have to invest in more training, marketing and boat shows, which added additional costs in the March quarter. At the end of the March quarter, we had only two larger Sea Rays in stock. Obviously, each quarter since the announcement, saw a meaningful drop in revenue from the larger Sea Ray, which has been more than made up by our successful integration and growth of other brand. Beyond boats, we once again drove growth in our higher margin businesses that include finance and insurance, service and parts, storage and our charter operation. This is a key strategic initiative in our efforts to train our teams and to ensure they’re included in the sales process, continues to produce incremental increases. However despite the improvements with such strong same-store sales growth in the quarter, which is driven primarily by boat sales, the higher margin businesses can't keep pace and shrink as a percentage of our total revenue, which deflated consolidated margins. There is no question the MarineMax team is the best in the industry, and I want to thank our team for their tireless effort. I am proud of them for persevering through the choppiness that the industry has seen. Consider that despite the Sea Ray discontinuing product, which historically was a meaningful portion of our revenue, combined with the choppiness in the December and March quarters, our team has averaged almost 12% same-store sales growth over the last three quarters since the Sea Ray announcement. In addition relative to the marine industry or almost any other consumer related product, our same-store sales growth is very strong. While I gave several reasons above for our margin expense challenges in the quarter, we are digging in and we are doing our operations to be sure our cost structure, pricing, and operations are aligned with business today and in the future. As we look ahead, we have the right inventory. Our manufacturers continue to deliver innovative product, loaded with new technology and marked by fresh design. With a strong backlog and an enthusiastic team, we are entering what is historically our largest quarter. All of our stores are speaking with customers and working to unlock some of the potential pent up demand from the long winter season. We will utilize unique MarineMax events to drive sales and exceed customer expectations. We will continue to source the right product and secure it for our stores, provide outstanding service and ensure our customers are enjoying time in the water with their family and friends. Given our ongoing gains in market share, it's great to see our differentiated approach is resonating with the consumer. Externally, we will pursue opportunities for growth, which includes acquiring great dealers and bringing them into the MarineMax family, and strategic real estate acquisition, specifically, marinas that can help drive our overall business more effectively. To that point, last week it was great to announce the acquisition of Sail & Ski Center in the growing markets of Austin and San Antonio of Texas. Sail & Ski Centers has a long and successful operating history. Having been found in 1969 by the late industry icon, Rod Malone. They were recognized as the best dealer in North America by Boating Magazine, ranking of the top 100 dealers in 2010 and then again in 2018. The team at Sail & Ski is now led by two well respected industry veterans, Buzz Watkins and Doug Malone. The brands they carry are generally aligned with ours, which allows us to leverage inventory, training and marketing. We believe that combining best practices, especially in the towboat market and the parts and accessories area, while providing them access to other products that we carry, will drive growth for MarineMax overall. It's really great to be able to welcome the Sail & Ski team to MarineMax. With that update, I will ask Mike to provide more detailed comments on the quarter.
Mike McLamb: Thank you, Brett. Good morning, everyone. Let me also thank our team for the growth they generated in the quarter. For the quarter, revenue grew over 12% to $304 million, driven by strong 12% same-store sales growth. As Brett mentioned, choppiness in the industry resulted in lower unit sales in several of the key categories that are important to us. For the quarter, our comparable unit sales were down in the low mid single digits, which means all of our same-store sales growth was driven by a large increase in our average unit selling price. The growth in premium and larger product in the quarter helped to drive up our ADP. Based on industry data, as Brett touched on, we believe we again gained market share in the quarter. Our gross margin was up 120 basis points. The decline in margins was roughly half due to product margins and the rest due to mix of revenue. Specifically in regards to mix, increased boat sales, which carry a lower margin than our higher margin businesses, impacted consolidated margins. This quarter also saw a pickup in larger product and incrementally in used product, both of which traditionally carry a lower margin than other products we sell. But out of the product margin decline, about half was directly related to the Sea Ray larger product. Selling, general and administrative expenses were up $64 million. As Brett discussed, given the choppy data, coupled with increasingly improving boat shows, we took a proactive approach to try and stimulate additional sales and increased our promotional efforts. I would add that the timing of one of our larger shows, Palm Beach, contributed to the lack of leverage in the quarter. The show moved very late March, which resulted in 100% of the costs hitting in the quarter, with no ability to recognize any revenue. The show is a strong show and partly explains the increase in our customer deposit line. Also as I mentioned last quarter, our charter business is fully operational this year, as opposed to virtually shut down in the March quarter last year due to Hurricane Irma. This added upwards of about $1 million of costs to the year-over-year expense increase. While this was budgeted and expected, this did incrementally impact the year-over-year expenses. For the quarter, interest expense increased slightly due to borrowings from additional inventory levels. Our pre-tax earnings were $7.2 million compared to $7.8 million last year. Our net income was $5.3 million with earnings per diluted share of $0.23 compared to an adjusted $0.25 last year. Turning to our balance sheet at quarter end, we had about $64 million in cash. But as a reminder, we have substantial cash in the form of unlevered inventory. Our inventory levels at quarter end were up 7% to $455 million, which is in line with our year-to-date same-store sales growth. The aging and mix of our inventory is healthy as we head into the busy summer selling season. Looking at our liabilities, our short-term borrowings were down slightly to about $298 million due to our enhanced cash and liquidity position. Customer deposits were not the best predictor of near-term sales, because they can be lumpy due to the size of deposits and whether a trade is involved or not, were up 67% from last year. As we've mentioned, larger product strength and the timing of the Palm Beach boat show contributed to this growth. Our current ratio stands at 1.51 and our total liabilities tangible net worth ratio was 1.12. Both of these are outstanding balance sheet metrics. Our tangible net worth again marked a new record of $341 million or $14.55 per share. We own about half of our locations which are all debt free, and we have no additional long-term debt. Our balance sheet has a formable strategic advantage that allows us to capitalize on opportunities as they arise. Let me now discuss our annual guidance. Given the challenges seen by the industry and the company in the March quarter, we believe it is prudent to align expectations. As such, we are adjusting fiscal 2019 earnings per share guidance to $1.75 to $1.85 from $1.85 to $1.95. Our guidance takes into account that we are up against a solid 3-year stacked same-store sales growth of about 37% and factors in Sail & Ski should add roughly 60% of its annual $40 million in revenue over the next few quarters and approximately $0.04 to $0.05 in earnings per share. Our guidance now assumes will grow same-store sales 5% to 8% on an annual basis. We believe this is prudent until we see if the choppiness continues or if industry trends improve going forward for our key categories. Additionally, as a reminder, the back half of 2018 is an overall tougher comparison than the front half. Our leverage so far this year has not been at levels we target, so our revised guidance does assume leverage in the second half in the mid-to-high single digits. Our guidance uses a share account of around 23.5 million diluted shares. It also uses an expected 2019 tax rate of 27% and excludes the impact from other potential acquisitions we may complete. As for current trends, Brett mentioned we’ve a strong backlog. With roughly a week to go in April, we do expect to have positive same-store sales in dollars and units. However, we need to successfully produce similar results in the more meaningful months of May and June. With those comments, I will turn it back over -- call back over to Brett for some closing comments. Brett?
Brett McGill: Thank you, Mike. As we move forward, our team is motivated and hard at work to improve our performance as we move into the second half of the fiscal year. We will also continue to pursue and evaluate the many opportunities to grow the business for the long-term beyond the recent expansion in Texas. Internally, as we’ve spoken throughout the call, we are already acting on initiatives to improve our leverage including execution of our digital strategy to increase the efficiency, better alignment of expenses and continue to expand the reach of our higher margin businesses. Boating is a great aspirational activity and our differentiated customer approach ensures MarineMax is the best choice for meeting the needs of boating enthusiasts [ph]. And with that, operator, let's open-up the call for questions.
Operator: Thank you. [Operator Instructions] And first we will go to Greg Badishkanian with Citi.
Frederick Wightman: Hey, guys. Good morning. It's actually Fred Wightman on for Greg. If we just look at the margin performance in the quarter, it looks like you are a little bit earlier than some of your competitors in terms of laying in promo activities. So can you just talk about if you are seeing any competitive response in the industry as far as people getting more aggressive promotion?
Brett McGill: I think as we said, we were aggressive with going to market to drive the sales. So, I don't know if we really looked out. We haven't seen a lot of real heavy discounting yet, but we were just aggressive with our promotions and pricing, but we haven't noticed it -- spread throughout the different shows and events we are looking at.
Mike McLamb: And our pricing is a very incremental, it wasn't drastic as the environment did not seem like it call for it, Fred.
Frederick Wightman: Okay. That makes sense. And then, if you can sort of take a step back and look at the soft industry performance that you’ve seen in the last two quarters, I mean, called out some weather here in this quarter, which makes sense, but what do you think is driving the industry level slowdown?
Brett McGill: I think that -- as kind of all the reports that come out say these are some of the smaller quarters or months that we look at and weather is always a factor in there. But it's kind of our caution that we are kind of just looking at it, and seeing that the premium products that we sell continue to have great cadence. Our events, customers, -- our events are fully booked with people coming out to these things. So we are -- we see good things, but we are not sure on that, maybe the smaller [indiscernible] more value-oriented product.
Mike McLamb: I think most people say, Fred that the December quarter choppiness, a lot of people believe that was due to all the turmoil in the markets and political factors and all the stuff -- tariffs that was going on back then. And then all the reports, to Brett's point, are more weather related. We are just -- we are being a little cautionary until we see it get into our season in terms of how our guidance was -- reflects it.
Frederick Wightman: That makes sense. And then just finally, I mean, at this point in the year, do you guys typically assume that any weather-related impacts are really deferrals at this point versus cancellation?
Mike McLamb: Historically, no, we said it.
Brett McGill: Yes, yes.
Mike McLamb: It's early in the season. It takes bad weather all the way through the end of June, to really miss the season.
Frederick Wightman: Makes sense. Thanks a lot.
Brett McGill: Thanks, Fred.
Operator: And next we will go to Joe Altobello with Raymond James.
Joseph Altobello: Great. Thanks, guys. Good morning. I guess this was already [indiscernible] to talk about weather, I will start there. You did mention that weather probably impacted the quarter, we put it up for the company, so far this earning season. But I’m curious, if you look at your comps and your margins in markets where weather wasn't an issue, was there a noticeable difference between some of your Southern and Northern markets?
Mike McLamb: I will tell you Joe, it's mixed. It's inconsistent, I think, it's the phrase that Brett had in his prepared remarks, which is what I would say and which also causes a little bit of hesitation, causes us to let's see how April is, watch the industry data to see how we are doing. Obviously, it looks like we are going to have a good April, get into the more meaningful months of May and June, but it's inconsistent. And I think when we talk to dealers and others in the industry, they kind of say the same thing. So while we are all looking at the weather, I think it's something more of a, let's get into the season and see what's really happening out here.
Joseph Altobello: Okay. And then in terms of the guidance, I guess, you brought it down on an organic basis, 15%, right? if the acquisition had started back home. So, just want to understand what’s baked into that. I imagine, there is no additional impact to Sea Ray, right? You have a couple of boats left -- boat show season is winding down. So I imagine the advertising and marketing related to those should go away. It probably includes some negative impact for mix going forward as well. And I guess, the last piece would be what kind of investments in marketing generally are you interested going forward? Do those come down from Q2 levels or do they stay elevated in the second half?
Mike McLamb: So if you listen to what I said, Joe, about the leverage at the mid to high single-digit, that would imply that we are going to continue to be somewhat promotional. Until we get into it and see, that's how the guidance is calculated. If we get into it and let's say, it's all weather, we don't need to do that, then our leverage should ramp back up and our earnings per share will ramp back up, and we will be very happy as we go to the summertime. But sitting here as we ended March, looking at the data, we are using less-than-optimal leverage, which would tell you that maybe a little bit on margins, a little bit higher on promotional activities.
Brett McGill: And I think working through the Sea Ray product, moving the product, but yet continuing to keep customers in our family and put them in the other products we carry, it does take an enormous effort. So it's not just about the inventory, it's about getting these customers on events and get away with marketing and getting them to move into these other products that we carry. They historically lost Sea Ray.
Joseph Altobello: Okay. Just lastly, how much did Palm Beach cost you in the quarter?
Mike McLamb: I don’t have the rate in front of me, but I’m sure that they got to be closer to $0.5 million.
Joseph Altobello: Okay. Thanks, guys.
Operator: Moving on, we will go to Eric Wold with the B. Riley FBR.
Eric Wold: Thanks. Good morning. A couple of questions. Just one, kind of going back to kind of the decision to start promoting heavier in the quarter. You weren't seeing it really from a competitive standpoint. What initially drove the decision to kind of drive more sales or kind of I don't say lower margin product, but obviously you taken a hit on. What was the impedance kind of started that earlier than what you may see from competition?
Brett McGill: I think you know our -- obviously, the December quarter data was kind of extremely choppy, I guess, I would say, so that caused us to say, let's put the pedal on in these boat shows. And I think we saw the boat shows growing, so we said let's keep at it. And maybe we are in the showrooms, we weren't seeing the activity we thought, we put it on heavier at the boat shows and had good results from it.
Eric Wold: Okay. And then, lastly, I wanted to [indiscernible] a lot more on kind of the comments around the lower priced boats. Obviously, we’ve heard that weather is well. I guess, you guys -- seems like you’ve pushed back a little bit on weather being the sole impact there, kind of around, maybe those being somewhat more impulse purchases and weather impacting, etcetera. I guess, can you get a sense that it is really lower income customers being pressured by something waiting for taxes to be done? Maybe kind of what do you hear maybe from the boat show season from your dealer, that could be part of your store level in terms of what's driving that, the delay or making a decision not to buy a lower-priced boat?
Brett McGill: Yes, I think kind of like we said, we saw inconsistencies on weather, we could say it was weather or not, So there's just -- there was something there, trends we saw just like the industry data reported that we couldn't just say, yes, that was because of weather. So there is something else out there, we are not sure what that is.
Mike McLamb: Eric, we are not hearing concerns from customers. The customers we are talking about are here looking for a boat to enjoy the boating lifestyle, is the one that you are not hearing from. It's what seems to be causing some of the issue.
Eric Wold: Got it. Thank you, guys.
Brett McGill: Thanks, Eric.
Mike McLamb: Thank you.
Operator: Next, we will go to Michael Swartz with SunTrust.
Michael Swartz: Hey, good morning, guys.
Brett McGill: Good morning.
Michael Swartz: Just wanted to follow-up on Eric's last question about maybe what’s driving the softness or slowdown in demand for some of the maybe aluminum or smaller fiberglass product. I mean, is there any sense that you have that maybe some of the raw material pass-through and just price increases, in general, are starting to maybe dent demand at the margin a little bit?
Brett McGill: I don't know if we could speak exactly to that. I just think it's -- our boat show traffic, it was in a -- here is all the reasons we are not buying this boat. We didn't quite see that buyers heavily in the shows as we had maybe in the past.
Mike McLamb: I think you bring up a good point, though. I mean clearly, this year has probably had a greater price increases than any recent year, but that's across the board whether it's lower price points boats or not. I think the industry and all of us need to be as sensitive to as possible, but it's just inconclusive, I guess, what I will say, Mike.
Michael Swartz: Okay. That’s fine. And just on -- I think you said, Mike, half of the decline in product -- or half of the decline in product margins, which I think would work out to about 30 basis points to the gross margin decline year-over-year came from just clearing out some of that larger Sea Ray product. So, I guess, I’m just trying to understand, maybe I’m misunderstanding this, but is that entirely due to just pricing and promotion trying to get it off the lots, or was that also embedding the cost related to the education and some of the customer facing initiatives to get people into maybe other boats, like Galeon or Azimut or whatever?
Mike McLamb: Great point and thanks for the clarifying question. But my comment was specific to the margin decline from selling the final Sea Rays that we had after the December quarter. Up until the December quarter, we were holding our own from a margin perspective. They were down some, but this quarter, they definitely dropped. All the comments that Brett made about the training that we are doing, promoting and all that’s down in SG&A. So the 30 basis points is just margin decline specific to the Sea Ray larger product.
Michael Swartz: So theoretically as you are now down to one or maybe zero of larger Sea Rays, that kind of 30 basis point impact would go away?
Mike McLamb: That’s correct.
Michael Swartz: Okay, perfect. Thank you.
Operator: We will next hear from James Hardiman with Wedbush Securities.
James Hardiman: Hey, good morning. Thanks for taking my call. So I just want to make sure I’m clear. The -- I mean, the same-store sales were better, at least than what we were modeling. I think they were better than The Street. But it sounds like what you are saying is that they fell short of your expectation. I just want to make sure I understand that properly. I mean obviously, it was a pretty tough comparison here in the second quarter. And then just maybe given that it seems like maybe we were off, anyway that we should think about sort of phasing of same-store sales during the back half of the year?
Mike McLamb: Yes, I can comment that with the success of the boat shows of January and February and us putting the pedal to the metal, we are sitting there looking at the biggest month March about to begin, we thought we will be able to drive more business than we did. We ended up having a -- there is a decent March, but we as a team thought we will even drive a bigger March than we did. So that’s that comment on how we thought the quarter even be bigger than it was. And your comment on same-store sales, if you look at 2018, this is going from memory now, but the front half of the year in '18, I think averaged 7% growth, if my memory is right, and the back half was 15% growth. So we are simply just up against a tougher comparison on a 1-year basis. You can start looking at 2-year same-store sales trends, 3-year same-store sales trends and granted, we’ve some fairly erratic same-store sales trend. But the back half of '19 is a tougher comparison than the front half was and were at 7% through March.
Brett McGill: And the timing of boats between quarters can be very difficult, especially on the bigger products. So we see some backlog and we can see different things, but it's -- the timing of big events is critical.
James Hardiman: Great. And then maybe just a bigger picture question about the strategy, the kind of utilization of promotional dollars, is the goal in any given quarter to optimize or maximize earnings power, or there are other considerations that play here? Maybe there are benefits to taking market share even in a quarter where that strategy might hurt earnings ultimately. I didn’t know if any of that is going on, but it does seem like, in a pretty -- top line quarter, that these margin issues continue to crop up?
Brett McGill: We have to look at every single factor as each day and months progresses, everything from the inventory levels, competitive pressures. Like I will say, we got to take customers that for years that bought Sea Rays from us and now we have to transition them to other product, you take trades. There is just those decisions you’ve to make to drive the business maybe in a different direction. Obviously, we always have an eye on all of our earnings, but inventory levels and competitive pressures, you measure that and you work through it.
Mike McLamb: And we certainly always would rather get a customer and take market share, given how our life cycle of customers over several boats and future earning streams ultimately ends up planting seeds for future growth even. So we’ve always tended to lean that way, James, over all the years. And because of the seasonal business, you got to do your -- you got to put your best foot forward out there, almost always as you are trying to balance inventory management, orders coming in for manufacturers, all of that. And we -- our team is out there every day trying to create the business. And again as we went into March, we did think we were going to have even more business than we did. And some of that perhaps is going to be delayed in coming in April and May, but there's a lot of factors that come into play.
James Hardiman: But just to be clear, the March -- the thinking you would have more business in March was after you decided to step up sort of the promotional support? That’s the way to think about that?
Mike McLamb: And then we were also promotional in March, exactly.
James Hardiman: Right. That’s I'm saying, yes. So that wasn't -- it wasn't necessarily that the quarter came in worse than you initially expected. But given the promotional support that you had provided, you would have expected to do even better?
Brett McGill: Well, yes. That in addition to seeing that we were having momentum with these promotional dollars throughout the shows, we did the same -- have the same strategy in our Palm Beach show, which was right at the very end of March. So we thought it was a good show.
Mike McLamb: Right.
James Hardiman: Got It. And then just lastly, you got a double-digit average selling price benefit in the quarter. How should we think about that going forward? Is that remotely sustainable? How are you factoring that into the same-store sales guidance?
Mike McLamb: Yes. So our guidance for the back half of the year would assume that the industry isn't negative. The -- as far as it was in the March quarter, that it gets back closer to where the outlook is for calendar 2019, which is in the low single digits. And so the rest of our growth there would be a more normalized average unit selling price increase.
James Hardiman: Got it. Very helpful. Thanks, guys.
Brett McGill: Thanks, James.
Operator: Moving on we will go to Brandon Rolle with Northcoast Research.
Brandon Rolle: Hi. I just had a quick question on the new versus used dynamic. You said you started to see it pick up in used boat sales this quarter. Could you talk about current inventories right now for new versus used in the channel?
Mike McLamb: I would tell you, I saw in the channel, I think late model-used boats are hard to come by. And margins on used generally are -- they've been improving. As far as our inventory, we are in good shape in terms of the mix of new versus used.
Brett McGill: Yes.
Brandon Rolle: Okay. Okay. Thank you.
Mike McLamb: Thanks, Brett.
Operator: Our final question will come from David MacGregor with Longbow Research.
David MacGregor: Yes, good morning. Just to camp on the used boats for a moment, what were used boats up year-over-year?
Mike McLamb: For us in the March quarter?
David MacGregor: For you, yes.
Mike McLamb: I don’t have the exact percentage in front of me, David. I think I commented on the call there is incremental greater growth. And when that -- when used boats grow like that because they are lower margin, it has a mixed impact on our overall consolidated margins, which is why we added up.
David MacGregor: Right. Okay. Then on ASPs, the double-digit growth, just how do we think about sticker increases versus mix benefit in that number?
Mike McLamb: It's almost all mix benefit. There has been obviously in place there increases this year, but the bulk of it is because we are selling larger premium product and just content that’s on the product.
David MacGregor: Okay, great. Thanks very much.
Mike McLamb: Thanks.
Brett McGill: You’re welcome.
Operator: And I will turn it back over to Mr. McGill for closing comments.
Brett McGill: All right. Thank you. Thank you all for joining. With the summer approaching, we hope you are able to get out on the water and enjoy some boating. Both Mike and I are available all day today. So please reach out anytime with any questions. We look forward to updating you on our progress on the next call.
Operator: And that does conclude today’s conference. We would like to thank everyone for their participation. You may now disconnect.